Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2013 CF Industries Holdings Earnings Conference Call. My name is Rachel, and I will be your coordinator for today. [Operator Instructions] I would now like to turn the presentation over to the host for today, Mr. Dan Swenson, Senior Director of Investor Relations and Corporate Communications. Sir, please proceed.
Dan Swenson: Good morning, and thanks for joining us on this conference call for CF Industries Holdings, Inc. I'm Dan Swenson, Senior Director, Investor Relations and Corporate Communications. And with me are Steve Wilson, our Chairman and Chief Executive Officer; Dennis Kelleher, our Senior Vice President and Chief Financial Officer; Bert Frost, our Senior Vice President of Sales and Market Development; and Tony Will, our Senior Vice President of Manufacturing and Distribution. CF Industries Holdings, Inc. reported its first quarter 2013 results yesterday afternoon as did Terra Nitrogen Company, L.P. On this call, we'll review the CF Industries results in detail and discuss our outlook, referring to several of the slides that are posted on our website. At the end of the call, we'll host a question-and-answer session. During this call and in the associated slides and our earnings press release, we make reference to certain adjusted or as adjusted financial results. These adjustments relate to the modification to the selling price methodology used for products sold by Canadian Fertilizers Limited or CFL. This modification impacts the comparability of the financial results between the 2012 and 2013 periods. To facilitate period-to-period comparisons of the company's underlying operating performance, we are presenting certain financial information on an adjusted basis, as if the modified selling price calculation methodology had been in effect on January 1, 2012. Please refer to the exhibits and reconciliation in the press release or on Slides 12 through 14 of the presentation accompanying this call. These adjustments impacted revenue and gross profit but did not affect CF Industries economics, EBITDA, net earnings or earnings per share. As you review the news releases posted on the Investor Relations section of our website at cfindustries.com and as you listen to this conference call, please recognize that they contain forward-looking statements as defined by federal securities laws. All statements in the release and on this call, other than those relating to historical information or current conditions, are considered forward-looking statements. These forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in the Safe Harbor statement included in yesterday's news release and the slides accompanying this call. Consider all forward-looking statements in light of those and other risks and uncertainties, and do not place undue reliance on any forward-looking statements. Now let me introduce Steve Wilson, our Chairman and CEO.
Stephen R. Wilson: Thanks, Dan, and good morning, everyone. Yesterday afternoon, CF Industries reported record first quarter net earnings of $407 million or $6.47 per diluted share compared to earnings of $368 million or $5.54 per share in last year's first quarter. Our net earnings and earnings per share set first quarter records, as our employees did an exceptional job operating the business. Last year, we had an unusually early start to the fertilizer application season. In stark contrast, this year, we're experiencing an unusually late start to the season. However, it is our same set of core business strengths of manufacturing flexibility, nimble transportation and logistics infrastructure and significant end-market storage assets, all operated by the best team in the business that have enabled us to post outstanding results under vastly different market conditions. The first quarter of 2012 was characterized by an abnormally early start to field preparation work throughout North America, most notably in the upper Midwest United States, which is an area of significant demand for preplant ammonia application. The year-ago quarter also was characterized by relatively-low urea imports, which set the stage for very strong urea prices throughout the spring season. This year, we saw a more normal weather result and a late -- later start to ammonia application. During the first quarter of 2013, we also had a higher volume of urea imports, which along with the late start to the application season, has weighed on urea prices in North America. Despite these diverging market trends, the effective management of our business enabled us to generate 10% growth in net earnings and due to our share repurchases, 17% growth in earnings per share. As you know, nitrogen is a nutrient that must be applied on corn every year to generate the yields that allow farmers to maximize their profitability. In the first quarter, we saw clear evidence of strong demand for nitrogen in the volume of UAN that we ship to our customers, and we have a very strong UAN order book, which indicates our customers' desire to have product available as the season gets up to speed. During the quarter, we sold 3.5 million tons of our products, a decrease of 6% compared to the exceptional first quarter of 2012, but also 6% higher than the same period in 2011 when we experienced comparable weather conditions. In the nitrogen segment, we had a year-over-year increase in the average price for each of our major products, except urea, and strong product volumes considering the later start to application compared to last year. Ammonia is the product that experienced the greatest year-over-year change in volume. In 2012, we sold 672,000 tons of ammonia, an unprecedented amount that reflected the exceptional weather conditions that allowed farmers to get into their fields to start application in early March. This year, we sold 334,000 tons of ammonia, a more typical amount. The cool wet weather prevented farmers from starting ammonia application in the Corn Belt during the quarter, but we did experience good movement in the Southwestern states. Pricing for ammonia was quite strong throughout the quarter. The average price per ton was about even with the first quarter of 2012 reported average price and increased about 6% compared to the adjusted average price. This year-over-year increase in the strength of ammonia prices in the Corn Belt demonstrate the market's strong demand expectations for the spring application season. Urea sales volume and average prices both declined from the first quarter of 2012. Our sales volume was very strong in 2012 given the early start to the application season compared to this year. And as I noted earlier, prices declined due to the delayed demand and the higher volume of imports that has come to the U.S. this year. This season's price movements compared to the very strong price -- spot market prices last year remind us that this is a dynamic market, with sharp price movements in both positive and negative directions. To be a reliable supplier in this market, companies need to have the infrastructure to store their product during periods of market slowness, a distribution system to be able to move product to market quickly and the financial strength to weather periods of slow demand and relatively-modest prices. I emphasize the word relatively because as we know, even at the most recent published Gulf urea spot price of $330 per ton, CF Industries still earns very attractive margins. UAN has been an area of robust demand and attractive prices for us this year. This led us to increase our production of UAN relative to urea in order to capture the enhanced earnings opportunity. Since UAN can be stored in downstream customer locations, we saw strong movement to dealers and distributors as they sought to build their inventories in preparation for a very robust spring application. To put this in perspective, our UAN volumes set a first quarter record and was the second highest we've delivered in any single quarter. We managed our UAN pricing and order book very well during this period of robust demand. As a result, we realized an average price of $329 per ton. With the importance of UAN to our company, this was a key component of the strong results we generated this quarter. Our cost of natural gas increased slightly from the year prior levels. Although weather early in the quarter was relatively mild, this March proved to be among the coldest on record and natural gas prices experienced an associated rally. Our long-term view is that natural gas prices are sustainable in a range of roughly $3 to $5 per MMBtu and the production increases should limit any sustained price rally. Our Phosphate business generated $28 million of gross margin on sales of $239 million. While export volume and prices decreased due to a slow international market, we experienced healthy volume and prices in the domestic market, giving prospects for a strong, albeit delayed, spring season. As we noted in our earnings release and the press release we published April 22, we bought back 2.5 million shares during the quarter. And with purchases subsequent to the end of the quarter, we have bought back a total of 3.8 million shares for the year-to-date, representing approximately 6% of shares outstanding as of the end of 2012. These repurchases totaled $750 million for an average price of approximately $197 per share. We believe the repurchases represent exceptional value. With that, I'd like to turn the call over to Dennis for a few more comments on our financial performance.
Dennis P. Kelleher: Thanks, Steve, and good morning, everyone. During the first quarter of 2013, the company reported net earnings attributable to common stockholders of $407 million or $6.47 per diluted share. This compares to $368 million or $5.54 per diluted share in the first quarter of 2012. Our first quarter 2013 earnings per share included an unrealized gain on natural gas derivatives of $0.23, a loss on foreign currency derivatives of $0.12 and an after-tax net benefit from the recognition of net operating loss carryforwards from prior to our IPO of $0.33. First quarter of 2012 earnings per share included a mark-to-market loss on natural gas derivatives of $0.52. Our Nitrogen business had a very good first quarter, which you can see on Slide 6. We delivered 3 million tons of nitrogen products and achieved a gross margin of $648 million compared to $662 million in 2012. The decrease in nitrogen gross margin versus the prior year reflects the more normal timing of shipments this year compared to the early movement last year. Gross margin as a percent of sales increased from 52% to 59% due to the gain on natural gas derivatives in 2013 compared to the loss in 2012. During the first quarter of 2013, we sold 334,000 tons of ammonia at an average realized price of $600 per ton compared to 672,000 tons in 2012 at an average reported price of $598 per ton or an average adjusted price of $567. Ammonia sales volume for the first quarter of 2012 benefited from exceptionally early start to the application season, while volume in the first quarter of 2013 reflected the impact of more normal weather conditions. Ammonia prices increased due to anticipated strong demand for the spring planting season and tight supplies throughout most of the quarter. Granular urea sales volume was 643,000 tons in the first quarter of 2013 compared to 758,000 tons in the first quarter of 2012. The average price was $410 per ton in the 2013 period versus an average reported price of $461 or an average adjusted price of $436 in the prior year. Sales volume decreased due to the later start to the application season compared to the unusually early start in 2012, while the average price decreased due to higher imports than the prior year period. During the first quarter, we sold approximately 1.6 million tons of UAN compared to 1.4 million tons in the first quarter of 2012, an increase of 17%. Average UAN prices were $329 per ton, a 9% increase from the first quarter of 2012. Our sales volume was higher due to robust demand for movement of product into dealer storage in anticipation of a strong application season and our decision to increase UAN production relative to urea production due to the attractive margin opportunity. UAN prices increased due to the strong demand and our effective management of pricing structure and our order book. Ammonium nitrate sales were 208,000 tons in the first quarter of 2013, a decrease from 247,000 tons in the first quarter of 2012. Average prices were $264 per ton in 2013, an increase from $259 in 2012. With more normal winter weather in 2013 compared to the very warm weather in 2012, the average daily market price of natural gas increased to $3.49 per MMBtu for the first quarter. Our realized cost of natural gas was slightly higher, $3.57 per MMBtu reflecting the premiums we paid to cap our cost of natural gas for the use of call options. As of April 30, 2013, we had 90% of our projected natural gas needs capped through July. As shown on Slide 7, our Phosphate segment achieved total revenue during the first quarter of $239 million, down 7% from the first quarter of 2012. Total sales volume for DAP and MAP was 495,000 tons, 4% lower than in the first quarter of 2012 with domestic volume up from 325,000 to 382,000 tons due to strong demand associated with expected spring planting. Export volume was down from 191,000 tons to 113,000 tons due to our having more attractive options in the domestic market. Although our average price per ton for the products diverged, with MAP prices increasing while DAP prices decrease, it is worth noting that domestic prices for both products increased due to healthy U.S. demand. International prices, however, decreased due to lower demand than last year. The Phosphate segment generated $28 million of gross margin, down from $50 million reported a year ago due to lower revenues and higher cost of production. As discussed in the release, during the first quarter, we recognized a net after-tax benefit of $20.6 million resulting from a closing agreement with the IRS related to net operating losses from periods prior to our IPO when the company was operated as a cooperative. Our $750 million of share repurchases was funded through cash on hand. As we reported on April 22, we increased the size of our revolving credit facility from $500 million to $1 billion and extended its maturity by a year to 2018, beyond the time frame within which we expect to complete our capacity expansion projects. We filed an automatically effective shelf registration statement that enables us to access the capital markets quickly, if we should decide to take advantage of the attractive rates at which we could issue debt in the investment-grade credit market. These actions demonstrate our financial capability to execute our strategic initiatives and we are, of course, pleased with the ratings upgrade we received recently from Moody's. Finally, we expect to spend between $600 million and $800 million during 2013 on our capacity expansion projects. This range is approximately $400 million lower than the range we communicated previously due to the refinements and estimated timing of expenditures. These refinements have no impact on project schedules, which are progressing according to plan. Capital expenditures for existing facilities are expected to be approximately $450 million. Now let me turn it back to Steve.
Stephen R. Wilson: Thanks, Dennis. With a team of employees who have exceptional focus on operational excellence, we're confident that we will be able to capitalize on the opportunity that this very attractive, albeit late starting, plant nutrient application season presents. The late season will require utilization of the strengths of our business: Production mix flexibility, transportation and logistic infrastructure, extensive end market storage assets, and global presence with export options. Our product mix flexibility is a key capability in dealing with the varied markets such as last year, when urea come in at a price premium due to the tightness of its market and this year when attractive prices have made increasing UAN production a valuable option. Incidentally, our flexibility to shift between urea and UAN will increase substantially when our Donaldsonville expansion is complete. While farmers will make every effort to use ammonia prior to planting this spring, we expect they will reach a point where they will forgo preplant application, plant their crop, and come back later with ammonia and/or UAN. We have been producing UAN at high rates in order to meet the demand and to realize the very attractive margins that come along with those sales. While urea prices have been under pressure due to the late-season start and the volume of imports, our transportation and logistics system has allowed us to move our urea into the Corn Belt, where we believe we will realize the best net pricing. And having significant end-market storage, in particular for ammonia, is of critical importance as is being demonstrated this spring. With a compressed time period available to farmers for applying ammonia, having in-market availability of product and the ability to load customer trucks quickly is vitally important. The vast volume of spring ammonia application often occurs in a period as short as 10 days. We have organizational insight to global trends and the ability to market our products to export destinations when price opportunities are attractive. This enables us to identify and take advantage of sales opportunities around the world for all of the products in our production mix. We anticipate these opportunities will include selling significant volumes of phosphate into South America and India this year, as those markets are expected to have robust phosphate demand. Our share repurchases to-date in 2013 bring the total cash we have used to purchase shares since 2011 to $2.25 billion for 17% of our outstanding shares at an average price of $168 per share. And we have authorization in place to purchase another $2.25 billion worth of our shares. During that same period, we have paid $182 million in dividends and spent nearly $800 million on capital expenditures. And last week, we completed our Medicine Hat interest acquisition for about $900 million. In total, we have deployed approximately $4.1 billion of capital since mid-2011 to sustain the business, invest in future growth and return cash to shareholders. This has all taken place since our $4.6 billion acquisition of Terra in 2010, which was clearly a timely value creator for our shareholders. We are committed to continuing this record of disciplined cash deployment as illustrated by our capacity expansions and by our remaining share purchase authorization. So in conclusion, I'm extremely pleased with where CF Industries is today, continuing to post very strong operating results and doing what we said we would do in executing strategic initiatives that we believe will create even more value for our shareholders. With that, let's open the call to your questions. Rachel, please explain the Q&A procedure.
Operator: [Operator Instructions] Your first question comes from the line of Kevin McCarthy of Bank of America Merrill Lynch.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Steve, in light of the late planting in North America, could you comment on the likely impact on the quarterly cadence of your earnings and perhaps discuss how late in the growing season growers can apply ammonia and UAN, and your anticipated mix effects there?
Stephen R. Wilson: Well, in terms of the -- I mean, the quarterly cadence of our earnings is frankly not something that we spend a lot of time worrying about. We look at our season from early spring through the beginning of summer, and we move as much product as we can into the marketplace when it's demanded. And the split between Q1 and Q2 ends up being whatever it is. But having said that, we have a very good order book. We're very optimistic about the amount of product we're going to move in -- into the market and the economics associated with that. And Bert, I'll ask you to handle the second one.
Bert A. Frost: Regarding ammonia application and how late or how long that will go, we're seeing good movement throughout our system today and we have throughout the last week, and that's distributed around where we have our terminals on the pipelines and on the river, and we anticipate that to continue. The areas that were most affected by not applying ammonia last year were in the north, North Dakota, Minnesota and Canada, and that's the area where we believe significant ammonia needs to go down, and that area also has a little bit more of a window to put that product down. And so we anticipate that area to start this week. And if you look at North Dakota on the weather MAP, which we seem to follow every day, they've got an open window probably for the next week, with appropriate temperatures and lack of moisture. On ammonia, you can apply ammonia for preplant and have it cure as short as 3 days, as long as 7 days, and so let's take an average of 5. And so you need a window to apply and then wait for the product to cure and then plant the seed. But don't forget that the side-dress season could continue until the plant is up to 3-foot tall, let's take an average of 3 feet tall. And so I would expect that side-dress due to the late planting will continue into July. So we will see positive movement of ammonia, even though we recognize that some ammonia areas may move to UAN, ammonia will still be going through 'til early July.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Very good. That's helpful. As a second question, can you comment on the reasons behind the deferral of $400 million in your capital programs to the new range of $600 million to $800 million for 2013? Why was that reduced? And also why -- given the reduction, is there no impact on your expected timeline?
Stephen R. Wilson: Kevin, there's actually no deferral involved in this. When we put our estimates together early on in terms of these projects, we tend to err on the conservative side in terms of the timing, so that we're prepared to handle liquidity needs that could come up as we move forward in the projects and we begin to negotiate for individual pieces of equipment and individual pieces of work. We're going through contract negotiations with suppliers, and the resulting terms of those contracts then determine the cash outflow pattern. So what we have is much more visibility into the actual outflows that will occur. So it is simply a refinement in our estimate and it is -- and obviously, it's good working capital management if we can manage it in this fashion.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: So Steve, just to clarify, is the total expected cost of the project any lower at this juncture?
Stephen R. Wilson: It is not. We're comfortable with our estimate, and things are going along in a way that has, at least, worked in the direction of increasing our confidence level.
Operator: Your next question comes from the line of Matthew Cornell of Barclays.
Kimberly Teller - Barclays Capital, Research Division: This is Kimberly Teller sitting in for Matthew. I just wanted to know, has your willingness to hedge additional natural gas over the rest of the year changed at all?
Stephen R. Wilson: We've announced that we're -- we have in place call options that cap our cost of natural gas for 90% of our expected usage between now and the end of July. And we visit this opportunity on a regular basis. Should we find the right opportunity to do more of it, we certainly will, but we've made no decisions at this point.
Kimberly Teller - Barclays Capital, Research Division: Great. And then just one other question. Could you speak a little bit about whether or not you see continued high Chinese export levels for urea being a concern and just because they've had a weak demand season, what the potential is for that over the course of the year?
Stephen R. Wilson: Well, the early signals are that we might experience urea import levels similar to those that we experienced last year. We don't really know until the window opens up, but we -- in terms of our own planning, we're assuming another strong year of Chinese urea exports.
Operator: Your next question comes from the line of Don Carson of Susquehanna.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: Steve, question on your forward order book, it's up considerably year-over-year, $700 million. I think you made some comments that it's primarily UAN. So what drove the increase year-over-year? Just was it more demand from growers for UAN, or was it just your decision that the economics of UAN were more attractive this year than they were last year?
Stephen R. Wilson: Don, I'll turn it over to Bert in a second, but remember that we had very, very strong movement in March of last year, and so last year may have been artificially low as a basis of comparison. But Bert, do you want to elaborate?
Bert A. Frost: Regarding UAN, we identified early in Q1 some trends that we thought were positive for market for UAN. And we executed several decisions regarding sales, sales prices, production increases in UAN -- that actually took place late in -- probably Q4 2012. And so we believe that we identified correctly where the market would be and executed that and then worked with our customers to take sales into Q2, and we're now executing against that.
Donald Carson - Susquehanna Financial Group, LLLP, Research Division: And Bert, just to follow up, with urea pricing down where it is, it's -- basically UAN is trading at a 30% premium to urea on a nitrogen equivalent base. Are you seeing any sort of latent interest on the part of growers to use urea, or is it just that the convenience of UAN is -- makes it more attractive despite the price?
Bert A. Frost: It's interesting. We talk about these issues. It seems every year, this comes up on what product customers or farmers will switch to, and do they switch and will they switch. And last year, even at urea at $700, those who use urea -- traditionally use urea -- stayed with urea, even though UAN was trading probably close to $320. And this year, we're seeing UAN priced, as you've mentioned at probably a 30% premium and we're experiencing I would say robust demand for UAN, but we also expect urea to pick up as customers look to maximize their N applications as they progress in their planting.
Operator: Your next question comes from the line of Vincent Andrews of Morgan Stanley.
Vincent Andrews - Morgan Stanley, Research Division: Steve, can we talk a little bit about sort of what can happen to pricing if we look out 2016, 2017, 2018, whatever the period is when all the U.S. plants come online? And if we assume the U.S. has to become a net exporter, do you think you can use the Donaldsonville facility sort of as a valve to keep the U.S. market balanced and the premium-priced market the way that it is today? Or how do you expect those dynamics to play out?
Stephen R. Wilson: Well, first of all, Vince, and I think it's extremely unlikely that the U.S. will be in a net export position by 2016 or '17. I would be quite surprised if that were to happen. But I will just go on to say that one of the principal reasons we're investing $2.1 billion at our Donaldsonville location is that it's on deep water. And so we will be in a position to take advantage of the best available economics, whether the economics are offshore or onshore. And I think we're frankly in a unique position with that big footprint that we have in Louisiana. We have lots of flexibility domestically in terms of the way we move the product, and then we have the ability to load oceangoing ships and move it to the -- whatever region of the world can give us the best net-back. So I think we're ideally suited for handling whatever circumstance evolves.
Vincent Andrews - Morgan Stanley, Research Division: Okay. And just secondly, could you talk about what would cause you to decide to issue debt? I mean, obviously, you talked about the rates being attractive, so -- or maybe the question is why haven't you done it yet? What would cause you to do it or not do it?
Dennis P. Kelleher: Yes, Vince, and I'll just go back to strategy real quickly. We've announced $3.8 billion capacity expansion projects. We just completed Medicine Hat. And we've got a $3 billion share repurchase program, of which we've already done $750 million. So we're very committed to making sure that all of those things happen, as Steve said in his speech, before the end of 2016. You will have seen also we've filed a shelf registration statement. We increased the size of our revolver. So obviously, it wouldn't be surprising, given where rates are today, that we would go out into the market looking for debt at some point. When we have something to report on that that's definitive, we'll let you know. But I think we've got, as I look at our strategic plans, I think we've got a very capital efficient financing plan to deliver on those things over the next 3 years.
Operator: Your next question comes from the line of Joel Jackson of BMO Capital Markets.
Joel Jackson - BMO Capital Markets Canada: Just circling back on UAN, is it a foregone conclusion that Q2 is going to be a record Q2 for CF for UAN, and maybe ask the same question for Q3 as well, please?
Stephen R. Wilson: I mean, Joel, I will say I have an idea that it will be a very good quarter. Whether it will be a record quarter for UAN, it's way too early to project that.
Joel Jackson - BMO Capital Markets Canada: Okay. I also want to ask you, with the urea prices coming down, hopefully getting to floor prices here, do you have a sense that the floor price will be closer to the Eastern European high-cost production cost or some of the Chinese costs?
Stephen R. Wilson: Well, Joe, I don't think they're all that different. Certainly, our recent experience over the last couple of years has been that when prices get down into this range that the capacity -- the production that reacts is the production in Eastern Europe, and we'll see what unfolds.
Joel Jackson - BMO Capital Markets Canada: And finally, looking at phosphates, do you expect a little bit of demand destruction at all this spring because it keeps pushing out on phosphates? And do you expect summer fill prices to be lower, or do you think price have come off enough?
Stephen R. Wilson: Bert?
Bert A. Frost: Yes, regarding demand destruction, what we are seeing, and this is anecdotally, that farmers are eager to get in the fields and may forgo a P&K application in certain areas, thinking they can probably pick that up in the fall. How big that is or how small that is, we'll have to wait and see. Regarding summer fill, we have an interesting scenario taking place in the world of phosphates with India delaying their purchasing, and we expect that they have 3 million to 4 million tons to purchase, but having a phosphoric acid negotiation and a rate that's closed, that puts a higher floor on phosphate DAP imports into India. And so you could see an increase in phosphate demand in India for DAP, as well as the South Americans delaying their purchases of -- right now it looks like all their products and at the same time that will come into the market as our summer fill. So you could paint a scenario that the markets will improve over the next several months as all of these demand points come at the same time.
Operator: Your next question comes from the line of Jeff Zekauskas of JPMorgan.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: When I look at your share repurchase history, you've historically tended to buy back shares below $180 a share. And now you're buying them into the 2s and you're buying them at -- in substantial quantities. And so I was wondering whether there was a philosophic change on your part, in terms of the way that you relate to share repurchase that is why the prices that you're willing to buy stock back now are so much higher than in the past? And what was the highest price that you paid for your shares over the last 2 months?
Stephen R. Wilson: Jeff, our philosophy on share repurchases has not changed. We buy our shares back when we believe they represent good value. I think I made that comment earlier that we believe the shares we have repurchased represent good value for our shareholders. And the average price at which we bought -- have bought shares back recently, the $750 million was at $168 on average, and we noted an average of $197 roughly for the -- for what we did in Q1.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: Okay. And then lastly, are there any changes in your tax rate going forward given some of the issues that arose this quarter? And on your income statement, there was, I think, a $54 million expense, nonoperating expense. I was wondering what that was?
Dennis P. Kelleher: Yes, the $54 million nonoperating expense -- if you go back to the discussion in the press release and also in our script, we had a settlement with the IRS with respect to net operating loss carryforwards that were generated during the time when the company was a cooperative before our IPO. That allowed us to reduce our income tax provision in the quarter by $75.8 million to $107 million as you see there, which -- what it is on the income statement. In addition to that, we had an agreement with the pre-IPO owners, that is other cooperatives and the pre-IPO owners of the company, that we would share the benefit of that with them, and the sharing of that benefit amounted to $55.2 million. That $55.2 million is the major component of that other operating expense net.
Jeffrey J. Zekauskas - JP Morgan Chase & Co, Research Division: And is there any change in your tax rate going forward or this was all 1 quarter?
Dennis P. Kelleher: No, this is a one-time thing. If you go -- if you were to subtract out, okay, the effects of both the agreement with the owners and also the settlement with the IRS, the tax rate wouldn't be 20% as you see here, it would be 31%, okay? And so we still see our tax -- our effective tax rate going forward more or less in the range that we've seen it in the past.
Operator: Your next question is from Chris Parkinson of Crédit Suisse.
Christopher S. Parkinson - Crédit Suisse AG, Research Division: Given that Chinese exports in the U.S. are a relatively well-known theme, can you comment on your expectations for pricing trends for both UAN and ammonia given the international supply dynamic, and in particular, just with respect to producers in North America, Trinidad and Eastern Europe?
Stephen R. Wilson: Bert?
Bert A. Frost: You were a little bit quiet on your question. If I understood your question to be "With Chinese exports being what they are or what we expect them to be, what do we expect for pricing for our products", is that correct?
Christopher S. Parkinson - Crédit Suisse AG, Research Division: Yes, for UAN and ammonia out of the other respective producers?
Bert A. Frost: Okay. Well, when you figure out China, let me know. We did not expect the volume of exports to come out of China last year, and it ended up being substantial. And in Q1, they continued that trend, and we expect that for the full year 2013 that they will mirror last year, more or less. Again, we don't have a plus or minus factor there. We know that there are substantial quantities already positioned in the ports for the July 1 export date, and that's kind of hanging over the market. That and the combination of Iranian exports to India, that seemed to take or dominate those tenders, that then has pushed the Arab Gulf tons and other maybe Egyptian tons to the United States and to other markets, in excess. And so we have this 2 million-ton hangover, overhanging over the market right now for this current period, and some of that will bleed into the third and fourth quarter. And so what we're seeing is what's being played out -- an irrational market of urea being priced down to where the Chinese may not be encouraged to export. So the impact on UAN, we've seen a divergence. UAN has been demanded and has been priced, we think, appropriately. We've captured that. The market is eager to utilize the UAN and as well as ammonia is at probably a higher rate. Going into the third and fourth quarter, we will have a natural. And just like historically, we have had the reset we call the fill period in the United States. And those prices for UAN and ammonia will moderate to a level where farmers are encouraged to contract with their retailers and we will then sell to the retailer. And so I don't think we're going to have a substantial drop outside of a historical norm for that period, and then we should trend well into the third and fourth quarter.
Christopher S. Parkinson - Crédit Suisse AG, Research Division: Great color. And just a quick follow-up on the CapEx reduction for Donaldsonville and Port Neal. Is the remaining $600 million to $800 million still mainly equipment prepayments? Basically, is there any other color you could offer there?
Dennis P. Kelleher: I'm sorry, I couldn't hear your question, Chris.
Christopher S. Parkinson - Crédit Suisse AG, Research Division: Sorry, regarding the $600 million to $800 million in remaining CapEx, is that primarily equipment prepayments?
Stephen R. Wilson: Tony, do you want to comment on that?
W. Anthony Will: It's a combination of -- for this year for $600 million to $800 million is combination of equipment prepayment, there's engineering and procurement services costs in there, and then our expectation is that we're going to begin civil work and construction in -- sometime in the summer. So there's earthmoving and construction activity in there as well.
Operator: Your next question is from Mark Connelly of CLSA.
Mark W. Connelly - Credit Agricole Securities (USA) Inc., Research Division: Steve, you've obviously demonstrated what the flexibility of your system can do in terms of responding to changes in demand. Do you think it's going to be harder for you to exit the season with nitrogen inventories where you want them? Obviously, flexibility helps you get stuff where it needs to be, but is it going to be tougher to manage inventories as you exit this year?
Stephen R. Wilson: Well, my general comment on that, Mark, is that every year really has the same objective. There never seems to be such a thing as a normal or average season. Some products are in higher demand than others. And at the end of the year, we inherit whatever is there. We're seeing very strong UAN movement. Bert talked about an ammonia season going into July. A lot of nitrogen is going to end up going to the ground. And so we're -- should we move as much as we think we'll move, I think our overall inventory position will be just fine. We may have a little more of one product than another, but that's really the case every year.
Mark W. Connelly - Credit Agricole Securities (USA) Inc., Research Division: Okay. But no overall -- no greater challenge to the overall nitrogen is what you're saying, right?
Stephen R. Wilson: Right.
Mark W. Connelly - Credit Agricole Securities (USA) Inc., Research Division: Okay, okay. And just one more question. If I tie together a couple of your comments, the U.S. won't be a net exporter by 2016, your comments about China perhaps selling quite a bit again next year, do you think there's a trend from -- looking at your own outlook, do you see a trend in U.S. imports over the next couple of years? Or is it actually getting more unpredictable?
Stephen R. Wilson: Bert?
Bert A. Frost: Well, predictable or unpredictable, what has happened this year is some traders and producers were long. The U.S. is a liquid market, NOLA specifically, and we saw product from Oman and other places that may not normally come on a ratable basis, begin coming on that -- on a monthly level, as well as some other locations like Indonesia. And so we became the fallback position or the backstop at some points for the market, the world market. Will that continue? I think that nobody likes to lose money. And so if you're a trader or a producer, like this floating China vessel that's stopped in Panama for a couple of months' vacation and then came to NOLA to discharge, those people lost a lot of money, and that's what people in those positions need to decide what they want to do and how they want to market their products on a consistent basis. We will have a demand for urea over the long term. We'll bring it in from Canada, as well as from other producing locations. But at some point, it will get to a competitive market where we in the U.S. will have a substantial increase in production and we will compete with those producers at the various distribution points. And I think that will moderate itself -- the market will moderate itself.
Operator: Your next question is from P.J. Juvekar of Citi.
P. J. Juvekar - Citigroup Inc, Research Division: So you finished the quarter of your $3 billion buyback that runs through 2016. It seems like an accelerated buyback. So are you being opportunistic? Or do you see this delayed CapEx and so maybe you pulled your buyback forward? Can you just comment on that?
Stephen R. Wilson: Sure, P.J. I think we've been very consistent in our comments about capital deployment. All of our initiatives are important to us. We are committed to doing all of them, and we will execute them month by month, quarter-by-quarter as it seems appropriate. Nothing has changed in our attitude towards either the CapEx or the share repurchases.
P. J. Juvekar - Citigroup Inc, Research Division: Okay. And a question for Tony. Tony, there was a recent tragic blow-up in West Texas. Do you think that changes the debate between the communities where these new plants are being built? And do you expect any delay as a result? And are you seeing sort of more inquiries on your project from communities?
W. Anthony Will: P.J., obviously, our thoughts are with the -- those affected in West Texas, and it was a horrible tragedy. The hallmark, I think, of CF Industries and the rest of the producers in the industry is a focus on safety and working with the communities to put in place appropriate first responder, response plans and to run drills and exercises and to make sure that all parties know how to respond. But our first and primary focus is on maintenance and safety and ensuring that we don't have issues in the first place. And I think the communities in which we operate appreciate the -- what we bring to those communities and respect our operating practices and culture in that regard. And so while clearly this is a topic that is getting a lot of media attention, rightfully so, we believe the way in which we conduct ourselves and operate our facilities is appropriate. So at this time, we don't see a significant impact in terms of our ability to move forward on these projects.
Operator: Your next question is from Michael Picken of Cleveland Research.
Michael Picken - Cleveland Research Company: Kind of a follow-up to what P.J.'s question was. I mean, how do you see the tragedy in West Texas potentially impacting the EPA approvals maybe for some of the other greenfield projects that are being discussed, or do you think that will have any bearing? And I guess as an addendum to that, what does that mean for the future of ammonium nitrate sales here in the United States?
Stephen R. Wilson: Well, Mike, we -- we obviously -- I certainly echo the comments that Tony made about this event. And our industry is very, very highly regulated today, particularly our end of the industry. We work closely with DHS, OSHA, the EPA, local and state authorities. We certainly will wait for the full report coming back about what happened. There are initiatives, frankly, that have been underway for quite a while related to safe storage and handling of ammonium nitrate. And in our observation, safety is #1 every place, every day. And I think we do safety well, but every -- any part of our business can be improved, even that part of our business. I can't predict what's going to happen among regulators in Washington. We have constructive relationships with those entities, both as a company and as an industry through the Fertilizer Institute and we'll be absolutely cooperative and helpful in any way we can in making sure that everybody in the chain of making, distributing and using all of our products is following the best safety practices available.
Michael Picken - Cleveland Research Company: Great. And then my third question is, if you could just quickly walk through now that you've completed the purchase of the remaining 34% of CFL's production, what that might mean for your ammonia price realization sort of going forward and kind of you had to sell -- or some of those contracts were on a cost-plus basis. But if you could kind of walk through how we should think about your average ammonia prices kind of going forward, that'd be helpful.
Stephen R. Wilson: Well, Mike, I think the best way to think about this acquisition of the 1/3 remaining capacity at Medicine Hat is to think about how we did Terra. We put all of the production coming from all of the entities into our portfolio. And we go through a process of rationally selling all of it into the marketplace in an attempt to maximize our overall margin. This -- it's important to remember, of course, that this piece of production is already in the marketplace. It's already been going someplace, so it's not being added -- not being added to the market. We will add it to what our offering is and we'll -- Bert and his team will go out every day and market that in the same effective way that he markets everything else. Mike, I guess, I'll just add one thing to that comment, and that is, certainly, one of the things that will happen in a quarter or 2 is that there'll be much better visibility into what our actual pricing is because we will be past the point of having to go through this adjustment process. And so while the main driver of this transaction, of course, was having the economics associated with this production, simplifying the accounting reporting of it will be a benefit to management and a benefit to investors and analysts.
Operator: The next question comes from the line of Tim Tiberio of Miller Tabak.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: I have a question more on the demand side. I know a few months ago people were more concerned that the drought conditions may trap more nutrients in the soil and that could diminish spring demand. But it seems like in this current environment where spring planting has been delayed, there's been significant moisture replenishment. We have heard anecdotal concerns that farmers are more concerned about nitrogen leaching in this environment. Putting that into context, is this an environment where even though demand has been delayed, that we could actually be in a situation that in some regions farmers may actually have to increase applications to kind of replace some of the fall ammonia that potentially could have been lost during this delayed spring?
Stephen R. Wilson: Bert?
Bert A. Frost: Regarding leaching and the movement of nitrogen during the period of -- from the period of fall application to spring planting, that has also more anecdotal than factual and we're not exactly sure, and I can't give you a percentage. What we will see is what we believe is a maximization of nitrogen as they plant the corn and as they look to have the yield uplift and the right feeding of the crop, you will see various applications. If a spring preplant of ammonia was not able to be put on, you'll probably see 2 to 3 applications of UAN, especially the irrigated areas and possibly a top-dress of urea in more of the northern areas. And so on total end demand, we're very positive that this year will be similar to others and maybe a slight increase to achieve a maximum yield with a shorter growing cycle.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Great. And just one follow-up question on Trinidad. I believe one of your peers indicated that natural gas supply had kind of improved versus previous quarters. Are you seeing any improvement in that situation and how should we look at that going forward in 2013?
Stephen R. Wilson: Well, I think there's a lot of talk about how the supply should become more reliable. I'm not sure we've seen it yet, although the impact on us has not been all that significant. Over the last couple of years, it's been an aggravation, but I don't think it's been much of an economic penalty to us.
Operator: Your next question is from the line of Adam Samuelson of Goldman Sachs.
Adam Samuelson - Goldman Sachs Group Inc., Research Division: A question on the Phosphate business and I'm just wondering maybe a bit more color on the higher production costs that were experienced in 1Q and the decline -- the higher per ton cost there, any clarity would be helpful?
W. Anthony Will: Well, Tim -- Adam, sorry, the biggest issue affecting our production cost was really the price of ammonia into DAP and MAP. Tampa ammonia was up significantly year-on-year and that drove the majority of the price increase, the cost increase.
Adam Samuelson - Goldman Sachs Group Inc., Research Division: Okay, that's helpful. And then, maybe just finally, as you think about your -- I know we talked about your inventories, but thinking about the industry inventories exiting the spring, I mean, how do you foresee that impacting really your ability to execute on a normal summer fill program? And these excess inventories that have come into the country, I mean, how do you think that can delay any kind of summer fill demand as you move into the third quarter?
Stephen R. Wilson: Bert?
Bert A. Frost: Summer fill is driven by a number of factors, 1 of those would be inventory, 2 would be timing. And generally, the retailers and the farmers want to work through their current purchases and then if the crop is at a state where they -- where it's really left to rain and sunshine, then focus on the next period. And so with the late planting, we would expect that fall fill will also be delayed for ammonia and UAN until those applications are over. And so inventory levels, again, this goes back to the -- you can't -- I don't want to comment too much on the industry, those numbers will come out. But CF, we think, will be appropriately positioned to begin the fill period and -- but that's the benefit of our system with the distribution assets we have in place, with the capability that we have to export products -- when we choose to participate in those markets, we will position ourselves to supply our customers in an appropriate level, at an appropriate price, when the time comes.
Operator: I'd now like to pass back to Dan Swenson for closing remarks.
Dan Swenson: We'd like to thank everyone who participated on the call today. If you need more information about CF Industries or our results, please contact me. Rachel, that concludes our call.
Operator: Thank you, ladies and gentlemen, you may now disconnect. Thank you for joining, and enjoy the rest of your day.